Operator: Greetings and welcome to the Euronet Worldwide First Quarter 2024 Earnings Call. [Operator Instructions]. Please be advised that today's conference is being recorded.  
 It is now my pleasure to introduce your host, Mr. Scott Claassen, General Counsel for Euronet Worldwide. Thank you. Mr. Claassen, you may begin. 
Scott Claassen: Thank you. Good morning, everyone, and welcome to Euronet's First Quarter 2024 Earnings Conference Call. On the call today, we have Mike Brown, our Chairman and CEO; and Rick Weller, our CFO.  
 Before we begin, I need to call your attention to the forward-looking statements disclaimer on the second slide of the PowerPoint presentation we will be making today. Statements made on this call that concern Euronet's or its management's intentions, expectations or predictions of future performance are forward-looking statements. Euronet's actual results may vary materially from those anticipated in these forward-looking statements as a result of a number of factors that are listed on the second slide of our presentation.  
 In addition, the PowerPoint presentation includes a reconciliation of the non-GAAP financial measures we'll be using during the call to their most comparable GAAP measures. Now I'll turn the call over to our CFO, Rick Weller. 
Rick Weller: Thank you, Scott. Good morning, and thank you to everyone joining us today. I will begin my comments on Slide 5. For the first quarter, we delivered revenue of $857 million, adjusted operating income of $63 million (sic) [ $64 million ], adjusted EBITDA of $109 million, a record first quarter across all 3 metrics. These results were made possible by contributions from each of the segments, but with a particularly strong earnings contribution from the EEFT segment due to an increase in the international transactions, growth of our merchant services business and strategic investments in new markets that delivered double-digit growth over the prior year.
 We are very pleased that the business delivered a record-breaking first quarter adjusted EPS of $1.28, a 47% increase over the prior year of $0.87.
 We were able to deliver this strong earnings growth due to our continued focus on expanding the business in new and existing markets, adding more products, and continued investments in our industry-leading technology across all 3 segments. Moreover, we are pleased that we were able to deliver results, which exceeded analyst expectations, consensus expectations for both revenue and adjusted EPS in the first quarter following our change from quarterly to annual adjusted EPS guidance.  
 And before someone says the favorable earnings all came from taxes, I would like to point out that approximately $4.5 million or approximately $0.10 per share benefit was realized from the resolution of tax matters, and $3 million or approximately $0.05 per share from the recovery of a duty fee paid last year. Excluding these benefits from the $1.28 per share, pro forma adjusted EPS of $1.13 nicely exceeded consensus estimates. The pro forma $1.13 per share represents a 30% growth over the first quarter last year. This favorable pro forma $1.13 per share compared to Bloomberg's posting of consensus adjusted EPS of approximately $1.04 was the result of more revenue and stronger margins.
 Needless to say, this strong start to the first part of the year strengthens our confidence in the 10% to 15% annual adjusted EPS growth guidance range we provided for 2024. Nothing like starting the year with the wind at your back.  
 Slide 6 presents a summary of our balance sheet compared to the prior quarter. As you can see, we ended the quarter with a relatively small increase in net debt, which was the combined result of the generation of cash from operations, the use of cash for the Infinitium acquisition and more cash placed in the ATMs to meet seasonal demand. And overall, our net debt leverage remains relatively conservative at about 1x EBITDA.  
 Turning to the next slide, Slide 7. Our results -- we present our results on an as-reported basis. On a comparative basis, FX translation didn't produce a lot of net differences year-over-year. But let's go to Slide 8 and talk about our results on a constant currency basis.  
 I'm on Slide 8 now. Building on the momentum from last year, we are pleased to start 2024 with good consolidated revenue and strong earnings results. All segments played a role in the quarter. Starting with our EFT segment, revenue grew 12%, adjusted operating income grew 220% and adjusted EBITDA grew 54% when compared to prior year. This notable growth was fueled by the rise in both domestic and international cash withdrawal transactions, double-digit growth in our Merchant Services business and further expansion into new markets.  
 Operating margins expanded nicely due to revenue growth, complemented by effective cost management and the deinstallation of loss-making ATMs in the fourth and first quarters. Epay continued its constant currency revenue growth at 8% with consistent revenue and profit per transaction, driven by continued growth in both digital media and mobile sectors together with its push to expand in new markets.  
 To that end, investments in product and geographical expansion have had a tempering effect on earnings growth where we can see EBITDA and adjusted and operating income come down by about 2% to 3%. The epay team is investing resources to develop and promote new products and solutions to supplement the core epay business for sustainable growth in the future.
 Given epay's past success in achieving growth while transforming the product mix from a predominantly mobile-only business to a mix of branded payment content, I expect epay's strategy of introducing its own products and solutions while also expanding geographically and growing the core business to restore epay's business to the earnings growth trajectory it has historically delivered.
 Money Transfer's revenue, operating income and adjusted EBITDA grew by 7%, 17% and 10%, respectively. The 7% growth in revenue was primarily driven by nearly double-digit growth in cross-border transactions, offset by a decrease in intra U.S. transactions. Direct-to-consumer digital transactions increased by 23%, reflecting strong consumer demand for digital product. Money Transfer's revenue and gross profit per transaction were very stable and consistent with the prior year.
 In addition to the good revenue growth, the Money Transfer team further improved its operating margins by approximately 60 bps over last year through scale and effective cost management.
 In summary, these meet and beat first quarter results further strengthen our confidence in the 10% to 15% earnings growth expectation we have for 2024.
 You might say, with a strong first quarter, why not increase your 10% to 15% range. As we previously said, we want the investment community to be confident in our long-term earnings growth. Remember, we found that the S&P 500 was getting twice the valuation as Euronet, yet delivering half the earnings. We will consistently be aiming for earnings in excess of the range, but we want you to have confidence in the consistency of our long-range growth expectations, similar to our historical growth performance. So by retaining our growth range of 10% to 15%, it doesn't mean that we're expecting deceleration. It means we want you to be confident in our delivery of long-term earnings growth. With that said, I'll turn it over to Mike. 
Michael Brown: Thank you, Rick, and thank you, everyone, for joining us today. I'll begin my comments on Slide #10. Before I discuss the quarter, I wanted to talk about the state of our business. As you can see from the slide at the left, our revenue and earnings trends reflect double-digit adjusted EBITDA growth over the past 3 years, not much different than our 10- to 20-year compounded annual growth rate. Both you and I struggled through the past COVID years. COVID is behind us. Let's leave it there and focus on the future.
 And what about the future? We shared with you our confidence in growing our earnings 10% to 15% per year, similar to our trailing 10- and 20-year results. And with such a strong start to the year, I can't help but be more and more confident with our expectations about our growth. Also note the directional movement of the red portions of the lines in the chart. The trend of the past 3 years looks a lot like the trends for the 3 years prior to COVID. I believe these trends speak directly to the consistency of our year-over-year results. 
 We are focused on growth powered by our best-in-class Ren technology platform, supporting innovative product development and our world-leading cross-border Dandelion payments network. We are busy entering into new markets, expanding our merchant services business, expanding our digital offerings and growing our network. And as you can see, this strategy is working. As we have continued to grow, we are very excited about the future. Business is good. So let's dig into those first quarter results.
 I'm excited that we delivered a record first quarter across all consolidated financial metrics, highlighted by adjusted EPS of $1.28, a 47% increase compared to $0.87 last year. As Rick mentioned, we had some nonrecurring items that benefited our results, but no matter how you analyze it, we delivered a record first quarter with or without them. What a great start to a new year.
 How do we continue to grow year-over-year. We grow by following a proven model with our focus on number one, continuing to grow one of our greatest assets, our network, our Dandelion network. Number two, utilizing our best-in-class technology platform powered by Ren to deliver products and solutions that our customers trust. Three, by continuing to turn our internally developed technologies into products, which include the Ren platform in the EFT segment, the Dandelion Network and the Money Transfer segment and the Conductor and Skylight products in the epay segment.
 Number four, by expanding our geographic reach, which we've been doing for a long, long time. And number five, identifying strategic acquisitions and managing our costs. You will see several examples of these as we go through the first quarter highlights.
 Let's go on to Slide #11, and I will update you on the status of the market conditions that impact our business. Slide 11, as we move further into 2024, I see encouraging trends towards the earnings outlook for the EFT segment. You might remember that in the summer of 2023, we saw inflation in Europe taking a bite out of the spend for holiday travel. 2023's reduced spend per tourist was a surprise to us just as it was to the credit and debit card acquirers throughout Europe.
 What you can see by this graph is the easing of inflation and wage growth this year and projected forward. The fact is, none of us know exactly what this summer will bring, so we have to temper our enthusiasm a bit, but the data points are all pointing north. You can see that wages continue to grow, while inflation has continued to decline, coupled with more money in holiday travelers' pockets, we anticipate an optimistic outlook for travel and travel spend.
 Along with this trend in wage growth and easing of inflation, we have seen several positive travel reports predicting growth in international travel in the spring and summer travel season.
 Let me share with you some of the key market indicators recently published. Delta and United and most airlines around the world confirm that they expect a record second quarter revenue, thanks to demand for spring and summer travel. Heathrow, Europe's busiest airport, reported a record first quarter with passengers up 9.5% compared to the prior year, and, in fact, updated its outlook for the summer holiday season, expecting the busiest passenger count ever.
 Finally, according to the World Tourism Organization, international tourism is expected to fully recover to pre-pandemic levels or higher in 2024 with initial estimates pointing to 2% growth above 2019 levels.
 In summary, key indicators now point to the easing of inflation, continued wage growth and an anticipated increase in travel during the summer holiday season. Finally, in an update to the consumer behavior survey we shared with you during our fourth quarter call, 75% of Europeans now surveyed said that they would increase or maintain their travel budgets in 2024, an increase from 71% in the same survey a few months ago. All the data points look good, and we're encouraged. We're cautiously optimistic, but let's not overshoot. We're focused on execution and leveraging our diverse and significant opportunities. With this great start to the year, we feel good about the direction.
 So let's move on to Slide #12, and we'll talk to you about the EFT highlights. Slide 12, before we discuss the quarterly highlights of EFT, I'd like to highlight the driving factors behind our growth in this segment. First and foremost, the continued growth of our Merchant Services business. Since the acquisition of this business in March of 2022, we have more than doubled the operating income and continued to grow. Additionally, with our ATM optimization initiative, as discussed in the previous quarter, it has resulted in improved margins, and we expect to see margin improvement for the remainder of the year.
 Lastly, our ongoing expansion into new countries contributed to our growth. We have realized success in several new markets around the globe. Investments we made during the pandemic and over the last few years are paying off very well in 2024.
 Now a few examples of what contributed to the quarterly results. We discussed the Merchant Services business as the key strategic acquisition. So how did it perform in the first quarter 2024? Well, let me tell you, EBITDA grew nearly 40% compared to the prior year first quarter, and this is a great example of how our management team continues to capitalize on strategic growth opportunities. We are adding new ATMs in new markets outside of Europe over the last few years. Our largest of these is in the Philippines. We opened the Philippines in late 2019, and we saw very impressive results until COVID hit. We didn't believe that COVID would last forever. So we grew our ATM estate even with weak travel numbers through 2023. Now that travel has seen a significant recovery there, our first quarter 2024 EBITDA grew 151% compared to the first quarter of 2023. This is another example of a strategic investment that is paying off in 2024.
 Beyond the Philippines, there have been 4 other countries that we have opened outside of Europe in the last 2 years. Getting away from the tourist-focused ATMs. During the quarter, we also signed and launched some exciting new agreements. In Poland, we secured a network participation agreement with Pekao Bank in Poland. Pekao Bank is the second largest bank in Poland with 3.2 million active customers. This agreement enables the bank's customers to deposit cash at our network.
 Taking a page from Poland's successful cash deposit network, in Romania, our agreement with Raiffeisen Bank was launched this quarter, providing additional flexibility for cash deposits for merchants and consumers alike.  
 In Greece, our Merchant Services business, aided by certain government stipulations, experienced significant growth with the signing of contracts with 19,000 merchants with POS terminals and another 16,000 merchants with softPOS solutions. Additionally, we are excited to announce the partnership agreement with SoftOne Technologies to provide integrated merchant acquiring solutions in Greece. SoftOne, one of the largest business software companies in Southeastern Europe, will integrate its leading brands and products with Euronet's merchant acquiring platform. The combined customer base exceeds 280,000 businesses, and we expect that to increase.
 Where are we with our ATM expansion this year? We remain on track to deploy between 3,000 and 3,500 new ATMs in 2024. Moreover, we're making progress in extracting maximum value from our existing network and strategically relocating ATMs to new locations. This effort contributed to our improved margins in the first quarter, and we expect it will continue through the year. This quarter reaffirms our global expansion strategy, including strengthening our presence in existing markets, and I'm excited about what the rest of the year holds for us.  
 Towards the beginning of today's presentation, I gave a lot of credit for Euronet's financial success to our technology platform. We built the most versatile real-time POS and ATM switching system to allow us to expand rapidly. Much like what Amazon did with AWS, which was originally developed to drive their own business worldwide, and it's now sold as a separate product, our technology platform, that we now call Ren, was built to allow our ATM segment to expand even faster. Ren is the first modern platform that is database independent, platform independent and micro services architected. And just like Amazon did with AWS, we now have productized our own platform for sale around the world. So with that, let's move on to the next slide for an update on our Ren payments platform.  
 Slide #13. During the first quarter, we continued to execute our go-to-market strategy for Ren. Ren is a proven product. We trust to run our payment processing businesses and a product with many different use cases that we sell into the market. Our customers include banks, fintechs and central bank infrastructures, providing them with a product that is adaptable to future technology changes and challenges. To complement the Ren product offering, we acquired Infinitum Holdings in Singapore in the first quarter. Infinitum is a market leader in providing risk management and payment authentication services such as 3-D Secure to prevent fraud in e-commerce or card-not-present transactions.
 In addition to this service, this acquisition also expands the addressable market of Ren to include online inquirers and merchants that require a modern cloud-native online payment gateway by integrating the Infinitum Gateway into the Ren acquiring host, which allows us to offer an end-to-end service. We are working on the technical integration and are excited about the expanded capabilities of these products for our customers and prospects.
 Now let's discuss our market wins during the first quarter. As mentioned in the previous quarter, our go-to-market strategy has been focused on Asia, Africa and South America. In the first quarter, we signed a deal with Bank Raya, which is a digital bank subsidiary of BRI, the largest state-owned bank in Indonesia. And to remind you, these digital banks are setting up their payment stacks from scratch, and they are unencumbered with legacy technology. Accordingly, their preference is a modern technology like Ren over legacy payment applications. With this win, we added another digital bank in Asia.
 We launched and went live with 2 new customer relationships in the first quarter. First, we launched Solfin in Costa Rica, a program manager that issues cards to corporates and businesses for use cases like payroll and expense management. Second, we launched a debit card program in Ecuador for our first credit card union customer as both sponsor and issuer. We are excited about the future of Ren, and we will continue to enhance the product offering through continued development and possibly successful acquisitions like Infinitium. Ren allows us to help fintechs and banks modernize and adapt to the changes in the payment marketplace.
 Let's recap our EFT segment. What a quarter for EFT. What has driven our growth this quarter? First, it's the strength of our EFT segment. The strength is our Ren technology platform, as I've said before, Ren not only powers our EFT businesses, but it's a product that we are successfully selling in the market. Second, we continue to grow our Merchant Services business by nearly 40% compared to prior year. Third, we have expanded our ATMs into new countries. And lastly, we continue to optimize our ATM network, which improves our margins. As we conclude our discussions of EFT, let me remind you, we achieved record first quarter results. While we must wait and see what the tourism looks like for the summer, it's hard not to get excited about these results together with the positive travel data.
  Now let's discuss our epay segment activity for the quarter. Next slide, please. From our early beginnings of converting prepaid mobile scratch cards to digital pins to our diversification from prepaid mobile airtime distribution to processing a third-party branded content, epay has always been a pioneer in the rapidly changing payments landscape. Our success is made possible because epay is built on a modern technology platform. This platform allows us to remain nimble to changes in the payments environment, thereby allowing us to help our partners deliver their product in more meaningful and unique ways in new and existing markets around the world. 
 This quarter, you can see our continued geographic expansion into 2 new exciting markets. First, we launched Google Play credits into Vietnam, a country where Android-based phones composed 65% of the market. With nearly 100 million people, Vietnam ranks in the top 3 of gaming revenue in Southeast Asia, and we believe it is significantly underserved. We also expanded our Google Play distribution into Japan, the third largest gaming market in the world. Most distribution in Japan is currently done through physical retail. We have identified a large digital partner to deliver Google Play credits electronically. These developments squarely establish us in 2 significant Asian markets this quarter. Also in the first quarter, we signed an agreement with SumUp, a global financial technology company headquartered in the U.K. that offers payment solutions to over 3.5 million merchants across 30 markets worldwide. SumUp will leverage epay's Conductor platform to provide closed-loop issuing and processing to their merchant base.
 Additionally, we launched Hediye Kart, epay's proprietary 2-step gift card that provides more consumer choice across our retail network in Turkey. Both of these agreements were won because of epay's flexible and scalable technology platforms. Similar to how we productized our Ren platform, we have done the same with our state-of-the-art compliance solution, Skylight. This quarter, we launched Skylight for World Banknote Exchange, a full-service international currency exchange provider based in California. Skylight modernizes the often cumbersome process of monitoring and investigation of financial transactions for money services businesses.
 And finally, as many of you know, Paytm in India ran into a regulatory issue that impacted its ability to onboard new customers and operate its stored value wallet. Epay leveraged its regulatory licenses, network connections and infrastructure to help Paytm resolve this issue in a timely fashion, thereby minimizing customer interruption. Epay's traditional business with Paytm involves only the distribution of Google Play credit. So as I'm sure you can appreciate, we are pleased that Paytm decided to expand our partnership to include prepaid mobile airtime, satellite TV recharges and bill payments in addition to Google Play credit. This was a terrific job done by the epay team and reflects our commitment to helping a partner resolve a difficult situation by leveraging the extensive collection of assets that we've built over the last 20 years.
 As you can see, epay is more than just a content distribution business. It is a diverse dynamic business with growth opportunities in several new and existing markets, and we will continue to develop and promote new products and solutions that supplement our core offering while providing opportunities for continued growth into the future. While the results from the cutting edge investments can take some time to make an impact on the overall segment results, I remain confident in our ability to introduce new products and solutions into new and existing markets that will help epay continue to produce strong growth into the future. 
 Now let's move on to Slide 15, and we'll talk about Money Transfer for a bit. As I begin my discussion on Money Transfer, I want to emphasize the importance of our network Dandelion as a key driver of growth in the Money Transfer segment. With access to 4.1 billion bank accounts and over 2 billion wallet accounts and over 580,000 physical locations to send or receive money, Dandelion is the most strategic cross-border network in the world to move money. 
 But let me put the opportunity for our Money Transfer business in perspective. Despite our position as the second largest multichannel money transfer company, our share in the $800 billion remittance market remains modest, only about 7%. We have historically outpaced the market growth by about 3x, but with licenses in send markets that compose only about 60% of where that $800 billion originates. So we see opportunities to grow market share by entering new send markets that represent another 20% to 25% of the addressable market. The market is big, and we have our eyes on additional share gains in both our existing markets and new markets, but it's also shifting, and we believe we are positioned to benefit from that shift. 
 We have consistently been able to outpace the market as a function of our strong value proposition and our ability to expand our product to the different channels that reach our customers. One market shift that I mentioned earlier is consumer preference for account deposits. We were able to grow our account deposit transactions 31% this quarter, in part, because our network can deliver real-time account deposit service in 98% of the markets where our customers have an account deposit needs.
 In the independent channel, where most of the total addressable markets still live, we are the global leader. And our superior value proposition enables us to consolidate its fragmentation. We have a thriving digital offering live in 24 countries, which continues to accelerate its growth while refining our customer experience. So as the market evolves, whether going to digital for sending, whether to bank accounts, wallets or cards for receiving money, whether for other use cases or in terms of population or migration shifts, we believe our Money Transfer segment is already well positioned to benefit from and actually lead into these market dynamics. 
 Now let's talk about some of our marketplace wins for the quarter. During the quarter, we signed 22 new correspondent agreements across 19 countries and launched 16 new correspondents in 15 countries. Our team continues to win market share and execute our plan. In Bangladesh, we've launched an exciting partnership with Nagad Wallet recognized as the world's fastest-growing mobile financial service provider. Nagad has revolutionized cashless transactions, integrating them into the daily lives of many Bangladeshis with a solid user base of 85 million registered customers. 
 In Malaysia, we launched a prepaid Ria MasterCard. This card demonstrates our commitment to localize our product to the needs of our customers. This innovative card seamlessly integrates with the Ria Wallet, offering new payroll channels for customers, employers. It facilitates direct payments into our wallet and opens up countless merchants for their spending needs. Our direct-to-consumer digital channel continues to grow nicely, expanding 23% and is becoming a larger share of our overall business, reaching 11% this quarter. 
 As we concluded 2023 with momentum and optimism, the first quarter results for Money Transfer reinforced our excitement with double-digit growth in operating income and adjusted EBITDA. I am more optimistic than ever about our Money Transfer segment's potential to continue to outpace the market rate of growth and accumulate market share as we've done in the past, a trend that's been consistent since our acquisition of Ria in 2007. 
 Now let's turn to the next slide, and we'll discuss our Dandelion network. As we told you, our network, which is also known as Dandelion, is at the core of the different value propositions we offer in the Money Transfer segment, along with Ria and Xe. Under the Dandelion brand, we offer our network and core payments capabilities through a Payment-as-a-Service model. By connecting with Dandelion via a single API, banks, fintechs, financial institutions, payment service providers and tech platforms can immediately offer real-time cross-border payments to consumers and businesses globally. This is a compelling value proposition that is being very well received in the market. 
 Through our Dandelion sending partners, we reached different customer segments than our traditional family remittance consumer. As we told you, we still have tons of room to grow in the remittance segment. But with Dandelion, we are also stepping into adjacent markets in the payment space that service those use cases that require cross-border settlement as part of their value proposition.
 From a market sizing perspective, we see Dandelion opening access to about a $15 trillion TAM or nearly 20x the size of the remittance market. So clearly, the opportunity is enormous, and with our competitive DNA and superior product, I'm confident that we'll take market share as customers realize the benefits of our attractive value proposition. 
 During the quarter, we signed an agreement with Wallex, a Singapore-based international payment service provider that serves SMEs, corporates, fintechs and e-commerce companies offering cross-border payments, collections, virtual multicurrency accounts and FX services. Further, several agreements we signed in 2023 launched and went live in this first quarter. One of the more significance was Ping Pong, one of the largest China-based cross-border digital payment providers. Ping Pong has relationships with more than 1 million sellers who have processed more than $90 billion in transaction volume.
 In addition, we launched an agreement with Sendwave/WorldRemit, one of the largest digital money transfer companies in the world with a customer base of more than 11 million customers. We are busy implementing all the deals that we've been telling you about. And as we continue to move into 2024, I see a very robust pipeline that I look forward to updating you on as we close these deals. 
 To wrap up our Money Transfer segment, hopefully, you will see what I see. We are surrounded by growth opportunities and very well equipped and positioned to continue to go after. 
 So finally, let's go on to Slide #17. As I conclude my remarks, I can't emphasize enough my excitement about the growth our management team continues to deliver. No matter how you analyze the results, this was a record first quarter for Euronet. And to recap, compared to the prior year first quarter, our Euronet team delivered adjusted EPS of $1.28, 47% over prior year, a record. Revenue of $855 million and 9% growth over the prior year, another record. Operating income of $65.8 million, up 44% over the prior year, another record for the first quarter. And adjusted EBITDA of $110 million, 19% growth over the prior year. You see where this is going, another record for the first quarter.
 Now let's recap how we delivered these results, and how we will continue to grow. We delivered these results by focusing on our strengths that we have discussed today. We will continue making strategic acquisitions like Infinitium that strengthens our go-to-market strategy for Ren. We're going to expand into new strategic markets, growing those markets like the Philippines, Morocco, Mexico, just to name a few. We will optimize our ATM estate to improve profit margins. We're going to grow and expand our existing businesses like our Merchant Services businesses, which delivered nearly 40% growth in EBITDA compared to the prior first year first quarter. Then we're going to continue to develop product offerings like Skylight and Conductor and epay and we're going to grow our best-in-class Dandelion network of over 4 billion bank accounts and 2 billion global wallets. 
 As we have referenced, the positive travel outlook from the major airlines, the airports and notably the World Travel Organization; the outlook from these resources all seems to say the same thing. The spring and summer travel season in Europe is predicted to exceed the prior year. And as I conclude my remarks, I just want to repeat, what a quarter. We have maintained the momentum from the fourth quarter, and we continue to be optimistic about the remainder of the year. For 2024, we firm our -- and we expect to see our earnings growth rate in the 10% to 15% range, but you can bet we are driving this business to produce even better results. With that, we'll be happy to take questions. Operator, will you please assist. 
Operator: [Operator Instructions] The first question I have today is coming from Andrew Schmidt of Citi Global Markets. 
Unknown Analyst: This is David [indiscernible] on for Andrew Schmidt. Regarding the epay segment, you mentioned inflationary pressures impacting the margin. Where did you see the inflation specifically? And are there other offsets on a go-forward basis? 
Rick Weller: Yes. With the inflation, we've seen kind of around the globe, I would say we saw more of it in the European markets where obviously you may know that epay has more of its business. So from our standpoint, it was a little bit more concentrated in that part of the world. But again, I don't think we've seen a corner of the earth that's not been impacted by inflation following the impacts brought about by COVID. 
 But your second part of the question, I didn't quite follow. So maybe you can ask that again. 
Unknown Analyst: Are there any ways to improve the margin on a go-forward basis to offset these inflationary impacts -- kind of the low watermark here? 
Rick Weller: Yes. I mean a couple of things that most easily come into that is, and as we mentioned in here, geographical expansion and product expansion. And as we pointed out in here, some of our own proprietary products gives us the ability to have a little better margins than what we have on other product that we distribute for customers. So that's where I would see that we're going to have the ability to get back into that earnings growth mode, scale and geographical expansion, which will contribute to that scale, and then some additional product that has some enhanced margin on it. 
Unknown Analyst: Understood. And then within EFT, how much more runway is there to optimize the network? 
Michael Brown: Listen, with EFT, we're always calling our lower-performing ATMs and trying to put them in better locations. So you get a combination of that, that we do kind of every day. And then also as we add new ATMs into new markets, then you get that benefit as well. So there is some, certainly. 
Operator: Our next question is coming from Mike Grondahl of Northland Capital Markets. 
Mike Grondahl: Two quick questions. Any update on surcharge or interchange? And then secondly, what were the total ATMs redeployed in 4Q and 1Q? And what effect do you think that had in the quarter? Can you monetize or quantify that? 
Michael Brown: There was about 2,000 across those 2 quarters, right? Yes, all together. So I don't have the exact numbers to quantify them. But if you think about it for a minute, if you're taking out an ATM that's losing money, you'll see your revenue go down, but you'll also see your profits go up. So that's kind of what's been happening over the last 2 quarters. 
Mike Grondahl: Got it. Then I don't know, what are you guys seeing with surcharge or interchange across? 
Michael Brown: Oh, yes, you asked that question. There is a lot of action going on, but nothing has happened yet. But as we talk to the regulators in various markets,  all we can say is where it sits today will not be what it looks like in a year from now. So -- but you just don't know when these regulators are going to pop. So we'll just say we're just going to be conservative and not work that into our guidance at this point. But we -- rest assured, you're going to see both surcharges added and interchanges go up over the next year or 2. 
Rick Weller: And if you just think about it, and we've made a comment here a couple of times about how inflation has impacted our business, and you've heard that on many, many other companies that you've talked to. All of the banks out there are challenged with the exact same thing. And unlike even in the acquiring world where you get a percentage of the transaction, as inflation goes up in the ATM world, you're not going to get an increase. That interchange remains the same. And so these banks have been very challenged by the rising costs. And there's been studies produced that show that the interchange does not cover the cost. So you're seeing more and more activity in the market where the banks are saying, we simply can't provide a service like this and continuing to take the losses on it. 
 So more and more discussion going. We'll see -- and I'm reasonably certain we'll see some benefit from that, but momentum moving in our direction. 
Michael Brown: Yes, just over the last 2 years, we've seen about 5 different examples in different countries. So we'll get more. 
Mike Grondahl: That would be great. The margin on those increases will be pretty high. So? 
Michael Brown: Yes. I mean the margin on the increase is almost 100%. So yes, it's big. 
Operator: And our next question will be coming from Cris Kennedy of William Blair. 
Cristopher Kennedy: You gave a great update on these ATMs in Philippines. Can you just talk about the opportunity to expand your tourist-focused ATMs outside of Europe? 
Michael Brown: That's -- I mean, I won't say that's our holy grail, but that certainly is a high focus item for us. With a little luck, this year, we might add 2, 3, 4 more countries. We're targeting more in Southeast Asia. We're still targeting a couple more in North Africa. And of course, virtually everybody south of our border. There's little tourist places in almost every country south of the United States. We've just lit up our first country, which was Mexico last quarter, and that's just the beginning of several places that we're trying to go into. 
 So it's -- I would imagine that you look at our huge estate of 35,000 tourist-focused ATMs in Europe. We only have a couple of thousand outside of Europe. Over the next 5 to 10 years, the numbers outside of Europe could equal Europe. So we'll just have to see what happens. 
 But -- the reason I can't just say we're going to just jump into them all instantly is in Europe, remember, we had the Payment Services Directive, a law that was passed by the EU that allowed a single regulator to regulate your expansion into every one of the EU countries. And we don't have that when we expand through the rest of the world. So we've got to approach every country individually. It's the pain. We've got to get the Central Bank to allow us as a nonbank to own an ATM and et cetera. So it just takes some time, but we've done that now in 4, 5 countries, and we hope to do it in many more. 
Cristopher Kennedy: Great. And then just a follow-up on Ren. Most of the business has been outside of the U.S. Can you just talk about kind of the opportunities to work with U.S. financial institutions? 
Michael Brown: Well, there are some opportunities. We're in discussions with several of them right now. But a deal is not a deal until it's signed and delivered. So we're not announcing until we get one. But we're certainly going after it, and it's the success of Ren outside -- it took a while, but the success of Ren outside the U.S. is now starting to bleed into the U.S. 
Rick Weller: And I would add to that is that we've been very encouraged by what these very large banks have told us about the quality of our technology and the challenges that they are grappling with, with respect to their historical legacy old, outdated technology. So we'll -- like Mike said, we'll wait until we've got something signed to announce, but we're very encouraged by the reception that we've gotten so far. 
Michael Brown: Yes. Those legacy payment stacks are very legacy. I mean, they're architected 20 to 40 years ago, that makes it a challenge for banks to deal with things like wallets and QR codes and all the modern banking challenges, account-based transactions and so forth. So the need is great. 
Operator: And the next question is coming from Gus Gala of Monness, Crespi, Hardt & Company. 
Unknown Analyst: Could you help me a little bit unpack the drivers of that big 60% incremental EBITDA margin this quarter in EFT -- just -- yes, that will be my first one. I have a follow-up. 
Michael Brown: Well, okay. So it's -- the 2 things we mentioned before. It's better transactions, and it's also rationalizing nonperforming ATMs. If you think about it for a second, it cost us x amount to run this ATM every month. We'll just make up a number, call it, $1,000. So you need enough transactions to cover that $1,000 before you get to breakeven. But every transaction after that has 90% margin attached to it. So that's the point. Once you get your quantity up and you cover the nut of your network, then all that starts to fall to the bottom line, and that's kind of what you're seeing. And so that's it. And then -- so it's more transactions plus it's the optimization of getting rid of ATMs that are not profitable. 
Unknown Analyst: Great. I appreciate the color. And my next one is on Money Transfer. Could you talk a little bit about the evolution of digital -- profitability of digital segment? I mean, is the opportunity here for further margin expansion just from continuing to drive more remittances ending in a digital receive? Does that makes sense? 
Michael Brown: Yes. Okay. Well, that's an interesting -- so there's 2 parts to it. When you say digital, it's the send and receive. So when we pay out into cash where somebody walks up to the branch of a bank or something to pick up their money, that bank gets, call it, $3, maybe $3.50 from us to do that for us to allow that customer to walk in its doors and do the transaction. If I pay out into a bank account or into a wallet account, it only costs like $0.50. So margins tend to be higher, the higher percentage of the transactions that are paid out digitally.
 Then on the flip side, so as that grows, that's growing 31% even though our transactions are just growing like 10% or whatever the number is. So that's good. And the other piece of this is, just more transactions into more countries. It's the send side. It costs -- because I don't have to pay part of the customer's fee to the agent, a digitally acquired transaction has slightly better margins than a physically acquired transaction. 
Operator: And our next question is coming from Charles Nabhan of Stephens. 
Charles Nabhan: I wanted to start with the Money Transfer segment, and I was hoping you could give us a little color around specifically what geographies are driving some of the strength in cross-border? And on the flip side, I know intra-U.S. has been weak for some time. But I'm wondering, are you seeing any deceleration or a slowdown in the decline within that business at all? 
Michael Brown: In answer to that last question, absolutely. Our decline is now roughly 10%, when it used to be roughly 20%. So it's declining slower, but there's also a smaller piece. So remember what this was -- the specific U.S. to U.S. business was called Walmart to Walmart. It was where people could bring their cash into a Walmart location, and it could pop out in another Walmart location. So that's -- with the advent of things like Venmo and Cash App and all these other digital methodologies to send money, that has really taken a bite out of what Walmart can do with the Walmart to Walmart cash-to-cash business. So that's why it's continued to go down. 
 The nice thing is all our international business is up, and thus, this cash-to-cash business becomes a smaller and smaller piece of our total. 
Rick Weller: And remember that movement to an alternative form was really accelerated in the COVID period when you didn't have people at the customer service counters. People were restricted from going in buildings. There was closings of stores and stuff like that. So it kind of had a unique set of circumstances to it. But -- as Mike said, the rate of decline is tapering off and the absolute amount by which it's declining against is obviously lower than it was. 
Charles Nabhan: Got it. And on the cross-border piece, anything you could say on the -- where you're seeing strengths geographically? 
Michael Brown: Yes. That's been pretty consistent and pretty strong in virtually all our geographies. We don't have a bad geography right now. 
Charles Nabhan: Got it. And as a follow-up, I wanted to drill into some of the initiatives you have in place within epay that you had alluded to, Mike. Is there anything you could say about specific products or what's on your product road map within that business? And how we should think about KPIs as well as the timing of contribution from some of the initiatives you have in place within epay. Clearly, you have a strong history of repositioning that segment. And I think -- I would like to understand what's next and what the next evolution of epay would look like? 
Michael Brown: Okay. Well, we have Kevin Caponecchi, our CEO of the epay segment. So I'll let this be the last question, but I'll let Kevin give a shot for the answer. 
Kevin Caponecchi: Yes. So historically, we've always distributed what we referred to as third-party content, whether that's a mobile top up or whether that's a Google Play credit. It's not our product. It's a product owned by another brand. And Rick and Mike went through the whole transformation of epay over the last several years, where we've continued to change the product mix.
 Looking forward, our goal is to introduce more products, as Rick mentioned, that are epay branded, that have a higher margin. And those products take on different form factors. 
 The second thing we're looking at introducing is more solutions. We referenced Skylight in the earnings call, and we introduced Conductor platform in the earnings call. Those are both solutions for both our retail partners and our brand partners. 
 So looking forward, we think there will be a -- we were driving a shift mix from third-party content to products and solutions that are owned by epay that will have higher margins. 
Michael Brown: All right. Thanks, everybody. We'll look forward to talking to you in about 90 days. Thank you. 
Operator: This concludes today's conference call. Thank you all for joining. You may disconnect.